Operator: Good afternoon, everyone. Welcome to The Joint Corp. Second Quarter of 2019 Results Conference Call. Today, President and CEO, Peter Holt, will review our operating metrics and our growth strategy; CFO, Jake Singleton, will discuss our financial performance; and Peter will close with our long-term vision and open the call for questions. Please note, we’re using a slide presentation that can be found on the Investor Relations section of The Joint’s website. Today, after the close of the market, The Joint Corp. issued its financial results for the quarter ended June 30, 2019. If you do not already have a copy of this press release, it can be found in the Investor Relations section of the company’s website. As provided on Slide 2. Please be advised, today’s discussion includes forward-looking statements, including statements concerning our strategy, future operations, future financial position and plans and objectives of management. Throughout today’s discussion, we’ll present some important factors relating to our business that could affect these forward-looking statements. The forward-looking statements are made based on our current predictions, expectations, estimates and assumptions and are also subject to risks and uncertainties that may cause actual results to differ materially from the statements we make today. As a result, we caution you against placing undue reliance on these forward-looking statements and encourage you to review our filings with the SEC for a discussion of these factors and other risks that may affect our future results or the market price of our stock. Finally, we’re not obliged to revise our results or publicly release any updates to these forward-looking statements in light of new information or future events. The company intends to file the SEC Form 10-Q for the quarter ended June 30, 2019, on August 9. Management uses EBITDA and adjusted EBITDA, which are non-GAAP financial measures. These are presented because they are important measures used by management to assess financial performance. Management believes they provide a more transparent view of the company’s underlying operating performance and operating trends. Reconciliation of net income or loss to EBITDA and adjusted EBITDA is presented in the press release. The company defines adjusted EBITDA as EBITDA before acquisition-related expenses, bargain purchase gain, loss or impairment and stock-based compensation expenses. The company defines EBITDA as net income loss before net interest, tax expense, depreciation and amortization expenses. It’s my pleasure to turn the call over to Peter Holt. Go ahead, Peter.
Peter Holt: Thank you, Mary, and thank you all for joining us. Turning to Slide 3. Our performance in the second quarter of 2019 once again illustrates our success in executing key initiatives to accelerate our growth momentum and drive sustainable profitability. Q2 marked our third consecutive quarter of positive net income and our eighth consecutive quarter of positive adjusted EBITDA. Over the past 3 years, we’ve delivered exceptional growth on our system-wide and comp sales or same-store sales. And I’m now – I’ll now review our most recent results. For the second quarter of 2019 compared to the same period last year, system-wide sales grew 34%. Comp sales for clinics more – that have been open at least 13 full months were 25%, and comp sales for clinics that have been open for at least 48 full months, which we consider mature, were 18%. Revenue increased 27% compared to Q2 2018. Also, our bottom line continues to improve year-over-year. GAAP net income was $462,000 for the quarter, up $513,000 compared to last year. And adjusted EBITDA increased to $1.1 million, up $322,000 compared to last year. Our balance sheet continues to provide support for our growth with unrestricted cash and cash equivalents, increasing to $9.5 million at June 30, 2019. Before I get into the details, I’d like to welcome our newer investors and provide some background on the company. The foundation of The Joint is to revolutionize access to chiropractic care. We do this in a convenient retail setting, providing concierge-style, membership-based services, with no appointments, no insurance and convenient hours of operation, including evenings and weekends. The Joint’s purpose is to alleviate pain and help move our patients toward a healthier lifestyle, the sweet spot of the growing health and wellness industry. The Joint’s mission is to improve the quality of life through routine and affordable chiropractic care. Our doctors focus patient care on pain relief and ongoing wellness to help our patients live the best version of themselves. Patients are attracted to The Joint due to our accessibility, credibility and empathy, the 3 key pillars we use to enhance our brand-building efforts. To achieve our ultimate goal of increasing shareholder value, we continue to execute on our stated strategies, which are to increase franchise development by leveraging our regional developer system, accelerate the expansion of our corporate clinic portfolio within clustered locations, improve clinic performance, grow new patient counts, improve the security of our IT platform and strengthen our balance sheet. Turning to Slide 4. Let’s review the portfolio. We opened 15 clinics in Q2 2019 compared to 8 in the same period last year. This brings the total clinics opened in the first half of 2019 to 29 compared to 15 in the first half of 2018. Regarding franchises, during the quarter, we opened 14 clinics and closed 1 unit for a net increase of 13, bringing the total franchise count at June 30, 2019, to 417. Regarding company-owned or managed clinics. During the quarter, we opened one greenfield clinic in Flagstaff, further expanding our Arizona portfolio and marking the third greenfield of this year. In addition to 1 buyback from a franchisee, we increased our corporate portfolio by 4 in the first half of 2019. We continue to experience unusually low clinic closure rates of less than 1%. Net 1 closure, we reached 51 company-owned or managed clinics. This brings the total clinic count to 468 at June 30, 2019. The mix continues to be 89% franchise clinics and 11% company-owned or managed clinics. Notably, we had significant activity in our corporate portfolio after the quarter closed. Through today, August 8, we acquired 5 more franchise clinics and opened one more greenfield, increasing the number of our company-owned or managed clinics to 57. We continue our expansion of our corporate clinic portfolio to increase our overall long-term economics by further leveraging existing infrastructure and brand marketing. We opened the El Cajon greenfield in the growing San Diego market, where we manage 8 of the 14 clinics in the area. We purchased a clinic in the very successful Phoenix/Scottsdale region, bringing our corporate portfolio to 8 out of the 30 total clinics in this area. We acquired 4 units in the Savannah, Georgia/South Carolina market, establishing a new corporate clinic cluster, where 21 clinics are in operation. Regarding acquisition valuations, we used a series of quantitative and qualitative criteria, such as financial performance, site evaluation, lease obligation and operational assessment. Better performing units warrant higher prices. Most of our recent acquisitions are top-performing clinics in our system. To date, all of our acquisitions and greenfields have been funded by cash from operations. Our full year 2019 guidance includes the opening of 8 to 12 company-owned or managed clinics. As of today, we’ve expanded our corporate portfolio by 10, consisting of 4 greenfields and 6 acquisitions compared to 1 acquisition in 2018. Additionally, during the quarter, we sold 45 franchise licenses, reaching 75 for the first half of 2019 compared to 34 in the first half of last year. Turning to Slide 5. Let’s discuss our regional developer, or RD program, which accelerates our growth. Today, our RD supports 75% of our franchisees and cover 56% of the metropolitan statistical areas in the United States. Our 21 RDs continued to perform to expectation and were responsible for 95% of the 75 franchise-licensed sales, some of which were multiunit agreements. In aggregate, our total 10-year minimum development schedule for the 15 new RDs comes to 432 clinics. This large foundation of unit commitment bodes well for our continued clinic expansion and the sales growth in 2019 and beyond. Turning to Slide 6. Our focus on clinical operation performance is delivering real improvement. It’s well recognized that clinics that start strong and tend to stay strong. Therefore, we’ve prioritized reducing clinic time to breakeven. We succeeded in lowering our historical average time to breakeven from 18 to 24 months in 2016, to 9 months in 2017 and approximately 6 months in 2018. 2019 started strong and is 200% above historical average through June with 29 openings. During the year, cohort averages will fluctuate as new clinics are opened. We expect to add over 40 more franchise clinics this year. Over the past 3 years, we’ve improved operational tools and protocols. Further, we continued to enhance our grand opening program and enforced the required franchisee advertising dollar spend. For example, clinics launched our search engine optimization program at lease signing, and they activate a 90-day plan of social, print and guerilla marketing programs that raises awareness with potential new patients in advance of the clinic opening. Some of our new clinics have been so successful that we began recognizing a new best-in-class grand opening, and we call it Go Elite or [rand opening elite. These top-performing clinics achieved at least 400 new patients and $30,000 in sales within the first 2 months of operation. And I’m very proud to say, through June 2019, we have acknowledged 6 Go Elite members, including 2 of the 3 new corporate greenfields. Turning to Slide 7. On the marketing front, The Joint continues to benefit from growing online consumer interest in chiropractic. In Q2, we set new records for new patient leads generated from both organic and paid search. This continues to be a major engine of our new patient growth. Additionally, we’re increasing our focus on awareness-building tactics, which helps us educate the greater market on chiropractic to improve our name recognition. Two of our most important platforms to this are YouTube and Facebook, which enable us to efficiently reach our target consumer and encourage branded search and direct traffic to our company website. The growing number and increasing sophistication of our co-ops enables us to improve the efficiency and effectiveness of their local advertising spend. For example, co-ops enable clinics to utilize more expensive advertising, such as TV and radio, in their local market. And in the last 12 months, we formed 5 new co-ops, bringing the total to 17. One of our most exciting projects is the new brand advertising campaign, which we are targeting for release this fall. And we’ll leverage the insights gained from our 2018 consumer research and involve multiple communication channels, including 2 new television spots, consumer photography, social media video, outdoor and print ads and new marketing materials for our clinics. Additionally, we will refresh our online web properties to an updated look and feel. Our research identify affordability as one of the core brand pillars. Therefore, our pricing structure is vital to our success. On average, the wellness plan membership contributes 80% of clinic sales. Currently, there are 3 tiers to our wellness plan membership: $59; $69; and $79 a month, depending upon the market. The last system-wide price increase was in 2016 when we raised all tiers by $10. During the last half of 2018, we tested in a limited number of clinics in Arizona and California by moving the wellness pricing plan to the next tier. In the first half of 2019, we added 2 more markets in Texas. Based on the positive results of these tests, we anticipate expanding the tiered-pricing adjustments to additional markets in Q4. Turning to Slide 8. Let’s review our progress in implementing our new IT platform. This CRM, that we call Axis, is critical to our system. It will combine our capabilities for point of sale, financial systems, business intelligence, marketing automation and patient feedback. It needs to be fully tested before we introduce it to the field with everyone trained on the new system. To that end, we’ll be running deep and broad internal test to ensure its functionality. We’ve also begun the development of a thorough training program. We’ll continue to be very deliberate with our testing and our training to ensure we minimize the impact to our business with its implementation. Ultimately, we believe that we can use this platform to better understand patient behavior, laying the foundation for even more sophisticated consumer marketing. In conclusion, we continue to deliver strong quarterly performance and believe that we’re well positioned to accelerate our growth momentum. And with that, I’ll turn the call over to Jake Singleton, our CFO, to review our financial results.
Jake Singleton: Thank you, Peter. Turning to Slide 9. We continued to deliver strong growth across all metrics. For this section, I will compare second quarter 2019 to second quarter 2018. As Peter mentioned, we’ve delivered exceptional growth of our system-wide comp sales. System-wide sales for all clinics opened for any amount of time grew 34% to $52.7 million. Comp sales for all clinics opened 13 months or more increased 25%. And significantly, comp sales for mature clinics opened 48 months or more increased 18%. Turning to Slide 10. Revenue for Q2 2019 grew to $11.2 million, up $2.4 million or 27%. Corporate clinics contributed revenue of $5.8 million, increasing 24% from a year ago, reflecting the portfolio expansion and the continued adoption of chiropractic care. Franchise operations contributed $5.4 million, up 30% compared to last year. This growth reflects the same benefits as our corporate clinics, greater sales from our existing franchise clinics and the sales from 52 additional franchise clinics. Cost of revenues was $1.3 million, increasing 24% over the same period last year. As cost of revenue is largely driven by regional developer royalties and commissions, this line reflects the success of this program. Gross profit increased 27% to $9.9 million. Selling and marketing expenses were $1.8 million or 16% of revenue in Q2 2019 compared to $1.3 million or 15% of revenue in Q2 2018, reflecting the increased local marketing spend associated with corporate clinic expansion and the extra spend associated with the national franchisee convention held in May. General and administrative expenses were $7.2 million or 65% of revenue compared to $5.9 million or 67% of revenue in Q2 2018. The absolute dollar increase reflects both the corporate clinic expansion as well as increases in employee headcount to support our growth. The decrease in the G&A expense as a percent of revenue reflects our increasing leverage in our operating model. Our operating margin is dependent on our clinic mix. As we open corporate greenfield clinics, until they reach breakeven, their expenses impact our operating margin. We are pleased to report that 2019 greenfields are reaching breakeven even faster than the 2018 cohort. As we acquire profitable clinics, we expect them to be immediately accretive to our earnings. We posted positive GAAP net income for the third consecutive quarter. Net income was $462,000 or $0.03 per diluted share compared to a net loss of $51,000 or $0.00 per share for Q2 2018. The improvement reflects the net impact of our total clinic expansion, coupled with operational efficiencies gained from more clinics increasingly using our tools and protocols. Total adjusted EBITDA in Q2 2019 was positive for the eighth consecutive quarter at $1.1 million, improving 44% compared to adjusted EBITDA of $734,000 in Q2 2018. Franchise adjusted EBITDA income grew 33% to $2.6 million. Corporate clinics adjusted EBITDA income grew 102% to $899,000. Corporate expense adjusted EBITDA loss increased 47% to $2.5 million, reflecting the costs related to our national convention, which was held during the quarter, and reduced incentive compensation accrual in 2018. Regarding the balance sheet, as of June 30, 2019, cash and cash equivalents were $9.5 million compared to $8.7 million at December 31, 2018. The increase is attributable to continued increased cash flow from operations partially offset by continued investment in our corporate clinic expansion and the development of the new IT platform. We maintain a line of credit of $5 million. Pursuant to the terms of the credit agreement, the company borrowed a required $1 million on its line of credit, which remains unused as part of cash and cash equivalents on the balance sheet as of June 30, 2019. As Peter noted, all acquisitions and greenfields have been funded by cash from operations. On to Slide 11 to review guidance. Based on our financial results, we are reiterating the full year 2019 guidance, expecting the same percentage increases over the adjusted 2018 results. For the full year 2019, based on financial results, we continue to expect: our revenue to increase between 26% and 32% compared to $36.7 million in 2018; adjusted EBITDA to grow between 67% and 100% compared to $2.9 million in 2018; for franchise clinic openings to range from 70 to 80 compared to 47 in 2018 and company-owned or managed clinic expansion, through a combination of both greenfields and buybacks, to range from 8 to 12 compared to 1 in 2018. And with that, I’ll turn the call back over to Peter.
Peter Holt: Thanks, Jake. There are several factors that continue to increase our market opportunity. Turning to Slide 12. Tragically, the opioid epidemic continues. 1 in 5 Americans will be prescribed opioids at some point in their lives according to the CDC. In 2017, almost 58 opioid prescriptions were written for every 100 Americans. From July ‘16 from – and through September ‘17, there were 30% opioid overdose increase in 52 areas in 45 states. And in 2018, more than 130 people died every day in the United States from overdosing on opioids. The good news is that there are 55% reduction in the likelihood of people filling prescription for opioids among those who’ve received chiropractic care. We’re heartened that more and more members of the traditional medical community are recommending chiropractic care as an alternative to opioids and surgery. Regardless, the general population needs education about the value and efficacy of chiropractic care. Turn to Slide 13, there’s a significant upside for the future. Based on the – based on industry research in our 2019 survey, we know 50% of Americans don’t even know what the word chiropractic means. 30% have an understanding of chiropractic, but they’re scared to try, and 16% saw a chiropractor in the last 12 months. The Joint is revolutionizing access to chiropractic care. Of the 434,000 new patients who walked in our doors in 2018, 26% were trying chiropractic for the first time. As we expand nationwide and increase our brand awareness, we are well positioned to help our growing portion of the population reduce their pain and find a path to improved wellness. Turning to Slide 14. With over 460 clinics, we’ve only reached 1% of the U.S. market and have an incredible market opportunity. Based on the demographic and psychographic analysis of our over 550,000 patient records, we have identified a minimum of total of 1,700 similar points of distribution that can support a joint clinic. Turning to Slide 15. In addition to our hybrid franchise corporate clinic model, which fosters expansion in a capital-light fashion, we’re evaluating additional models. We’re testing a few of these clinics to understand their growth potential: in small markets that have underserved population; in urban markets, like Hoboken, New Jersey, where they have significant downtown population and pedestrian flow; and in nontraditional locations such as airports and store-in-store concepts as with the Relax The Back. Turning to Slide 16. We are well positioned to drive growth with: our enormous market opportunity to scale our clinics; our enhanced marketing, building our national brand; our improved protocols, generating increased operating leverage; our RD model, accelerating franchise license sales and growth; and our hybrid franchise corporate clinic model, enabling our capital-light expansion. As a result, we’re posting exceptional sales comp growth that leads the range of small-box retail and franchise concepts. Combined, we expect the momentum to continue to increase and to deliver value to our shareholders. Before I open up to Q&A, I wanted to share the events that we will be attending in September and October. On September 12, we’ll be in Lake Street’s Best Ideas Conference in New York; and on October 3, we’ll be at the B. Riley Consumer & Media Conference in New York. And finally, I’d like to thank our franchise community, our RDs and our employees for their remarkable contributions to the health and growth of our company. This progress would not be possible without their commitment and their hard work. Sarah, I’m ready to begin the Q&A.
Operator: [Operator Instructions] Our first question comes from the line of David Bain with Roth Capital.
David Bain: Not really into the obligatory, Great quarter, but great KPIs and everything once again. My questions – I guess, the first would be in Investor Day, you mentioned you were close to securing an RD for the Northeast that could potentially be a 350-plus store opportunity. I was wondering if you have any update on that.
Peter Holt: We are continuing to look for qualified RDs in various markets. And so that – we have no updates since the investor call. But we still see there’s a number of RD opportunities as we look into the rest of 2019.
David Bain: Okay. And I guess I have a couple questions on the guide. So on guidance, you’re up to 10 corporate clinics versus the guidance of 8 to 12. We still have a lot of year left pretty much anyway. Is it possible that, one, you could exceed that? And then also, you mentioned the pricing adjustment and that augmenting across the board for 4Q. Should that have an impact in that quarter? Or should we be looking out more for 2020?
Peter Holt: I’ll answer the question concerning kind of where we are with our corporate portfolio guidance, and then Jake can answer the question about impact of the pricing adjustment we have on our – we would’ve expected to have. And you’re right. We’re seeing – are guiding between 8 to 12, and we’re sitting at 10. That – and there’s 2 elements to that, what drives that number. And that first element, of course, is greenfield. And we have a pretty long trail of when those greenfields are going to open. We have a number of leases and LOIs out there that are in process and that we are expecting that we would open up at least another 1 or 2 more – let’s say 1 or 2 greenfields by the end of the year. But they have their own timing and they could flip into Q1 just as easily as fall into Q4. On the acquisition side, as you know, it’s a far more opportunistic situation and that there’s certainly a timing to them, so where they fall. But it’s not something that we have so much control over. And so to answer your question, could we exceed guidance based on where we are in 2019? It’s possible. We believe that right now that we are reiterating guidance between that 8 and 12.
Jake Singleton: And Dave, this is Jake. On the market adjustment piece, I think the key point there is that as we expand that in the fourth quarter, we do grandfather the existing wellness plan holders into their rate. So as – we will expect some lift from that, but it will be a little bit more gradual because it’s really going to take effect as new members sign up.
David Bain: Great. And just – I’m sorry, just one big-picture question on the store-within-a-store because you’ve guided that before. Is the concept longer term to possibly have a big corporate deal exclusivity, that type of thing, with a much larger chain? Or will this remain sort of a niche-oriented opportunity within different regions or brands?
Peter Holt: The way I’d answer that is as you’re building out any kind of retail system, you have your traditional footprint. And it’s not unusual, as you’re building that brand and taking advantage of opportunities, you would go for the more nontraditional opportunities. And they’re going to vary. Obviously, that – we’ve done the – our first clinic inside of a store, the Relax The Back store. That’s a chain of 100 units across the country. So far, the results of that have been positive that we would expect to see that to continue expand. There’s other options, whether it’s military bases or with maybe other larger chains there. We’re putting a concept inside of their existing platform. You would look at those opportunities and respond to them as they come up. But the core of building a retail brand is absolutely those small-box retailers that you put across the country, so that 1,700 units that we’re really focused on getting opened in the shorter period of time.
Operator: Our next question comes from the line of Jeff Van Sinderen with B. Riley.
Jeff Van Sinderen: Let me add my congratulations on terrific Q2 metrics, especially the comps. Can you speak more about the franchises you recently acquired? Maybe – any performance metrics you can share? I know you said that they’re among the top performers. But do you think there are still improvements you can make operating those units? Or do you feel like they’re running optimally at this point?
Jake Singleton: No. I think there’s still room for improvement. One of the things that we preach is the new protocols and practices that we’re rolling out across our system. We practice what we preach, so yes, we think by instituting those policies that we can continue to see lift even in mature clinics. And you can see that in our comps for our 48-months-or-more clinics, they’re still comping at 18%. So yes, we believe there’s still room to grow there, and we think we can have some operational influence.
Jeff Van Sinderen: Okay. Good. And then on the franchises you sold, just wondering if there’s any more detail you can give in terms of geography. Was there any concentration in certain areas, maybe how strong the performance is in those markets relative to other markets? And how many of those were in RD markets?
Peter Holt: Sure. Of the 75 sales that we’ve had year-to-date, that – they’re pretty much spread where most of our – really following the clusters of where we already have. And Jeff, that’s not unusual in franchising because as you build the brand in a market, there’s more and more awareness of it. And not only does it attract more and more patients to go in that door for the first time, but it also attracts franchisees. So it’s not surprising to see that continued buildup. And with – the greatest number of leads we’re generating typically are generated from where we have the greatest concentration of clinics. And so out of those 75 clinics, 95% of them are inside one of the RD territories.
Jeff Van Sinderen: Okay. And then I’m just wondering, and I’m sure you guys do a lot of research and a lot of crunching numbers and data, but any change that you guys have noticed over the last, I don’t know, call it, 6 to 12 months in terms of customer behavior trends that are worth mentioning? Also wondering what sort of response you’re seeing as you evolve marketing?
Peter Holt: Sure. I would say it’s really clear. The 2 biggest trends that we’ve been following and tracking by the day is that we are seeing more and more new patients open that door for the first time. It’s almost every month, we’re breaking records of having more patients per clinic open up that door. And so that were – without question, seeing more – as this concept expands and as we have more exposure, you’re seeing more and more people open that door. So our new patient counts are – and we talked a lot about that in Analyst Day. We’re just showing you this over time how much they have increased, and that’s been a primary focus over the last several years. The other side of that is we’ve improved the operational protocols of how we run the clinics and how our doctors work with our patients. What we’re seeing is that our patients are, in fact, using us more often, and they’re staying with us longer. I remember a couple of years ago, when we talked about how long was the average patient with you, the numbers we were giving was 4 months. Today, they’re with us for 6 months in terms of their membership. We do, obviously, account daily on how many adjustments we’re doing per clinic and per area. And again, not only are we seeing new patients open that door for the first time, but we’re seeing existing patients use us most often. And to me, that’s a reflection, of course, our comps, and that’s a reflection of everything that we’re doing here is being amplified by a market that’s expanding. I mean chiropractic is going – becoming more and more aware. To me, I think, that’s the biggest opportunity that we have in front of us. As we’ve talked about before, 50% of American people don’t even know what the word chiropractic means. I think that once people understand the efficacy and the value of chiropractic, it’s only going to become more and more mainstream. And that’s clearly the strategy as we go forward.
Operator: Our next question comes from the line of Michael Kawamoto with D.A. Davidson.
Michael Kawamoto: Just first off, at your Analyst Day, you talked about getting to 1,000 doors as quickly as possible in the next 4 to 7 years, which would entail accelerating growth again for the next couple of years by my math. It seems like the system can handle more openings, at least operationally. Could we see 80, 90, 100 doors opening per year in the near future? Is there a capacity you see? And do your franchisees have the appetite to do that?
Jake Singleton: No. I think, Mike, we do expect to see it continue to accelerate. We’ve got the infrastructure right now, obviously, to do between 70 and 80. To accelerate on that will take a lot more infrastructure from us to get the additional franchise doors open. And you can also look at our franchise sales as those continue to accelerate. You’ve got a very robust pipeline right now, so we do expect those to continue to accelerate in the near term.
Michael Kawamoto: Got it. And then can you just talk about what the labor market looks like for chiropractors right now? Are you and your franchisees able to find good [indiscernible] just given how quickly you’re expanding?
Peter Holt: It’s a great question. And it doesn’t matter what your concept is, is that managing your quality of labor is a core to successful business. If we just talk about the chiropractic labor market in the United States, according to the statistics out there: there’s over 70,000 licensed doctors who are registered in some 1 of the 50 states to practice; there’s over 40,000 independent practitioners now in operation; that there’s 16 accredited schools that graduate roughly 2,400 doctors a year. Now if you look at our whole umbrella, with our 468 clinics, we have probably a little over 1,200 doctors under our umbrella. And so you can see with those numbers, now they – you have to make sure that they’re not just a doctor. They’re a qualified doctor, and they actually live or want to live where you want to open up that clinic. So do we see these challenges in certain markets where we have a lot of clinics opening? Of course, and we’re always trying to manage that. We just finished actually a survey of existing doctors and former doctors to truly understand what is attractive to a doctor to work for us and then what are the things that are important to them to have them stay with us. So that we’re really trying to refine the quality of the doctor who is attracted into our business, and then make sure that we and our franchisees are creating an environment where they want to stay with us.
Michael Kawamoto: Got it. That’s really helpful. And then on the comp, they remain one of the strongest of any concept that I’ve seen. Curious if there’s any difference between the corporate owned or franchise? And are there any regions that are really strong compared to the rest of the country?
Jake Singleton: Yes. Mike, that’s one of the things that I think is unique about our concept is when you compare our clinics against the franchise base, when you look at them in terms of month in operations, so the same age class type of clinic, we don’t really see a material variance between franchisee and corporate-run clinics. So I think that is unique to us, something that we’re proud of on the corporate clinic side.
Operator: Our next question comes from the line of Brooks O’Neil with Lake Street Capital.
Brooks O’Neil: And we’re looking forward to having you at our conference in New York in September.
Peter Holt: Absolutely.
Brooks O’Neil: So I personally am excited about the continued ramp of the corporate store base, so I was hoping you might discuss if there’s been any sort of unexpected results or impacts of your expansion this year. And then maybe just talk a little bit about the return dynamics difference between buying existing franchise units and opening stores greenfield.
Jake Singleton: Sure. Yes, I don’t think we’ve had any surprises, Brooks. Maybe the volume of clinics that we have acquired, but I think we do a pretty deep due diligence. So I don’t think we’ve had surprises in terms of the acquisitions. The second part of your question was on the difference between the acquired unit and a greenfield unit. I did – the key differentiation is when we build a greenfield unit from the ground up, you’re going to take those early working capital losses as that clinic marches to breakeven. We’re not targeting loss-making clinics when we do an acquisition, so we expect those to be immediately accretive to earnings when we acquire them. Obviously, the stronger the unit, the more accretive it will be. So there is a big difference, especially in the near term. When you look at the second quarter, we had multiple greenfields kind of marching through the quarter, and the acquired clinics are going to come in, in the second half of the year. So I think you can see that phenomenon in the Q2 results, and we’ll see a nice lift in the second half of the year.
Brooks O’Neil: That’s great. That’s very helpful. Let me ask you a different question. I recognize the power and importance of the franchise group you have today. But I had some sense that perhaps you were having opportunities to attract some perhaps larger, more financially strong franchisees. Can you say anything about sort of the trends, what you’re seeing, what the opportunities might be in the future?
Peter Holt: No. It’s a great question, Brooks. And that – you are absolutely right that we absolutely are seeing. First of all, we’re seeing more qualified candidates come to us and interested in acquiring a franchise, and we’re also seeing a more sophisticated, better-financed franchise prospect also come forward. I think we mentioned in the last call that we did – for example, we have a couple of Planet Fitness franchisees, the multiunit operators, they are pretty built out in their own market. They want to continue to expand. They have overhead in place. They love that health and wellness category. And so in a way, we’re a natural extension as they are – want to stay in the market that they’re serving, but they want to expand their overhead or leverage their overhead by adding additional brands to it. And so we really have seen a number of health and wellness concepts or multiunit franchisees talk to us and – to actually buy multiple units with us. So we also are continually looking at refining and improving our whole lead generation strategy. You met Eric Simon. He’s doing an outstanding job of working with our regional developers and really refining our whole lead generation strategy to make it more effective.
Brooks O’Neil: That’s great. Let me just ask one last one. I’m excited to hear about the Go Elite start-up strategy. I’m guessing, but I’m looking for confirmation, that perhaps the fast startup might result in a quicker to breakeven time. Can you give us any detail on how that’s working with those Elite units?
Jake Singleton: Absolutely, Brooks. And they’re starting really strong. As Peter mentioned in his remarks, the 2019 cohort is 200% above our historical ramp. So yes, with that comes a quicker time to breakeven. I think the challenge for us is to make sure they keep going and continue to grow their units.
Peter Holt: And what that implies, if you’re hitting $30,000 sales in that first 2 months of operation, and we talk about on average, for a clinic, that breakeven, depending on most – the biggest variable will be their lease cost, but their breakeven is somewhere between $20,000 and $25,000. And so if you have a clinic that’s breaking even at or doing $30,000 in sales by month two, that suggests that they’re breaking even in that time period. So it’s a really exciting space to be in.
Brooks O’Neil: That’s fantastic. Congratulations. You guys have a machine, and I love to watch it run.
Peter Holt: Thank you very much for the support.
Operator: [Operator Instructions] Our next question comes from the line of Mike Malouf with Craig-Hallum.
Mike Malouf: Just a couple of more deeper ones. It’s interesting, I think, when we were talking at the Analyst Day about your focus and effort to raise the profile of the company and brand within the industry. And I’m just wondering if you could comment a little bit about how your partnership with schools is having an effect on that.
Peter Holt: Well, it’s very much having an effect. And quite frankly, in the early years of The Joint – is that we didn’t really have that good reputation with the schools and chiropractic associations. I think part of that was driven by just a lack of understanding of our business model and how it operated. What we’ve been doing is really trying to help educate the schools, help educate the associations about how we are helpful for the overall chiropractic community that we can provide jobs for these young doctors who were coming out of school, that there’s lot of challenges to the traditional chiropractic market as insurance takes over more and more of the delivery of health care, including chiropractic. And so what you’re seeing when we made that first contribution to Sherman College, I think that opened up the eyes of a number of other schools that we could, in fact, be a partner for some of these schools. Palmer is the oldest, probably the most prestigious school out there, and that – we started with that relationship slowly. We would – that we’re invited to attend their Career Days. We had spent some time together in December that they invited the senior management team out there to learn more about their operations and for them to learn more about us. That resulted in the donation that we made, as you saw probably in the press release last month. And this is – we expect to continue to really drive and improve the relationships with these schools and associations. Right now, we are the largest online producer of content on chiropractic in the world. And then as I said earlier in my remarks, one of the challenges chiropractic faces is just not enough people understand its value and efficacy and that we are – important for us, that can help the entire community of chiropractic benefit from people understanding how it can be beneficial to their lives.
Mike Malouf: That’s great. And then with so many people coming in to your stores, certainly seeking health and wellness, and certainly, most of them on the cutting-edge of health and wellness, I’m wondering, have you come to any conclusions or thoughts with regards to selling other products besides just the actual chiropractic care that is offered in those stores, for instance, maybe anything from CBD oil to anything else that you could think of?
Peter Holt: Somebody was asking me to sell CBD oil and change our name to [Double Jointed]. So Michael, it’s a great question. And in the building of any retail system that I’ve been a part of, it’s a natural evolution that as you evolve, you look at line extensions and different services as the market itself changes. So who we are and what we do today, of course, is going to change over time. But what I would tell you is as long as that we’re having these comps and as long as we have this just remarkable simplicity of model, is you want to be incredibly thoughtful when and what you would add to this platform. And so it is certainly an opportunity out there and one that we look, that we scan – in fact, every day, I get approached by different opportunities, whether it’s orthotics or CBD oils or [indiscernible] or supplements because these are all traditional services and products that are associated with chiropractic. And that – we will look at those very thoughtfully. But at this moment, with the comps that we’re experiencing and the simplicity of our model, we’re going to be very thoughtful before we would add to the complexity.
Operator: Our next question comes from the line of Anthony Vendetti with Maxim Group.
Anthony Vendetti: Most of my questions been answered. But I guess, Jake, you had mentioned when someone asked the question about the monthly is moving up in terms of the tiers that the current customers are grandfathered in. So what I’m curious is when you say they’re grandfathered, are they grandfathered in for as long as they keep up their monthly? If they stop and then re-sign up, do the new rates kick back? Do the new rates kick in for them? Or are they grandfathered – for how long are they grandfathered for?
Jake Singleton: Yes. They’re grandfathered for as long as they maintain their existing wellness plan. If they should drop that plan for any reason, when they come back to sign up, they will move to the higher-pricing tier. So what we usually see is a nice conversion opportunity when we roll these out, so people wanting to take advantage of that grandfathered rate. Then we see that normalize over time. And then as we have attrition in our clinics and new patients signing up, we’ll see them come on to that higher rate.
Anthony Vendetti: So if you had to – and I know you have great metrics. So if you had to look at your current customer base, how many of them are on the new rate versus ones that are grandfathered currently?
Jake Singleton: Sure. So the – if you look at the existing customer base, the attrition rate for the grandfathered falls significantly, down to 3% or 4%. What we’ve seen with our test subject is that after about 7 months of time, you’ve got a pretty significant portion of your clinic that are – that’s on that higher rate. So that’s just kind of some general benchmarks for you.
Anthony Vendetti: Okay. That’s helpful. Okay. So right now, you say you’ve opened 75 franchise licensees year-to-date. Is that right?
Jake Singleton: We’ve sold 75 new licenses to date.
Peter Holt: And we’ve opened 29.
Anthony Vendetti: So you’ve sold 75. Out of those 75 you sold, you’ve opened 29?
Peter Holt: No. It’s 32.
Anthony Vendetti: 32? Okay.
Peter Holt: I’m sorry.
Anthony Vendetti: And you have.
Jake Singleton: Yes. So we’ve sold 75. Those will go on to open, and then we’ve had 29 openings so far in the first half of the year.
Anthony Vendetti: In the first half, okay. And the remainder should open up throughout the rest of this year, and some may spill into 2020, correct?
Jake Singleton: Yes. So that’s the key. When you have a multiunit sales, we’re going to give them a little bit longer time to open that portfolio. The largest multiunit deal we did in the quarter, we actually sold a total of 10 licenses. So 1 franchisee. So we would say that the median time from franchise agreement signing to opening right now for us is about 9 months. But for somebody that signed a multiunit deal, we’re going to give them a longer path. So we’ll give them that standard time to open the first one and then a series of time to kind of layer on their additional units. So I don’t think you can draw one for one. We have a pretty defined waterfall that helps us with our guidance, but it’s tough when you have the multiunit deals because they do stretch out over time.
Anthony Vendetti: Okay. And then just circle back on the Go Elite program. So can you just go through the tier and what the 3 tiers constitute in terms of – it’s based on the number of monthly visits, correct?
Jake Singleton: So our Go Elite program has 2 benchmarks. The first is within their first 2 months of operation, we need them to do $30,000 cumulative of sales. And the second is they have to have 400 new patients.
Peter Holt: Which is separate from the 3 tiers of our membership plan.
Anthony Vendetti: Yes. Yes. So maybe also talk about that. So the membership plan has 3 tiers, and that’s based on number of monthly visits for the customer?
Peter Holt: No. No. Let me explain. What happens is that we – I think we said in the call, 80% of the sales of the clinic is membership-based. So if somebody signed up to be a member, and once I sign up for – to be a member, I pay a monthly fee, and I get 4 adjustments for that monthly fee. And that monthly fee ranges, depending on the markets you’re in, between $59 a month, $69 a month and $79 a month. And that price range is – that price structure is really based on costs associated with that market, why one is $59 or one is $79. But you get the exact same services in that membership, regardless of what that pricing structure is, depending on what markets you live in.
Anthony Vendetti: Okay. Got it. And 80% of your customers are on one of those monthly plans?
Peter Holt: 80% of the sales over the average clinic is generated from that membership.
Anthony Vendetti: From that monthly membership plan. Okay.
Peter Holt: Correct.
Anthony Vendetti: And it just varies, [the place] on the market, from $59 to $79. Got it. Okay.
Peter Holt: Exactly. But if you’re in the Phoenix market, everybody’s on the same membership base and have $69 a month. If you’re in [indiscernible] market, may be at a $79, it may be at a $59.
Anthony Vendetti: Got it. And the increase that you implemented, that’s – those are the new rates? And did you say you started testing another increase?
Peter Holt: Well, what we said is that in terms of just across the board price increase, the last time that we did that was in 2016. And in 2016, we had the same tiered pricing. We had, at that point, $49, $59 and $69. And what we did after testing is we went across the entire system and said, "Okay, you – your membership rate is going to go up $10." So if you were on the $49 plan, they went up to $59 and et cetera. And that – and what we said in the call is that starting in actually last quarter – excuse me, in the winter of 2018, in very limited clinics, it’s not a price increase, but in certain markets where we looked at the overall market cost and we looked at what our rate was per month, is that we tested raising, just in that individual market, the price from $10 to – from $49 to $59, for example. And that based on that test, we’ve expanded it to 2 new markets in Texas. And from the results, we’re seeing that it is not impacting our new patients coming in. It’s not impacting our conversion. It’s not impacting our attrition rate. And so what we are believing is that there’s other markets that could be – we could be increased at about $10 based upon the market conditions that they’re already operating in. So it’s not a system-wide price increase across the network. It really is just looking at a refinement of what is the right pricing structure for that specific market.
Operator: Thank you. This concludes today’s question-and-answer session. I would now like to turn the call back to Peter Holt for closing remarks.
Peter Holt: Well, thank you all for your interest. As you may know, we’ve been sharing patient testimonials on these calls. And today, I’d like to tell you the – a story about a young athlete that we recently met. Angela played Division I women’s soccer for Arizona State University. And as an elite athlete, she’s done a lot of running and lifting, which has caused stress on her body. Further, she has a fused vertebrae that’s caused discomfort her whole life. According to Angela, she sought out chiropractic care as a part of her health care regime for the relief from her injuries. Now she credits her flexibility and reduced tension in her body to her chiropractic wellness routine. Angela credits The Joint for providing the easy access to the care she wants, and she relies on our doctors with their continued chiropractic care and wellness education, which she finds so important to everyday health. Thank you. Stay well adjusted.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude today’s program. You may all disconnect. Everyone, have a great day.